Operator: Welcome to Pall Corporation’s conference call and webcast for the first quarter and fiscal 2010. Today’s call is being recorded and simultaneously webcast. Instructions for the question-and-answer session will be provided at the end of management’s prepared remarks. Right now, all lines are in a listen-only mode. We’d like to remind you that the company’s first quarter press release is available at www.pall.com. Management’s remarks this morning will include forward-looking statements. Please refer to slide two or request a copy of the specific wording of this qualification of the company’s remarks. Management also uses certain non-GAAP measures to assess the company’s performance. Reconciliations of these measures to their GAAP counterpart are included in slides at the end of the presentation. At this time, I’ll turn the call over to Mr. Eric Krasnoff, Pall Corporation’s Chairman and CEO. Please go ahead, sir.
Eric Krasnoff: Thank you very much Cynthia. Good morning to all of you. We appreciate you joining us today to review the results for our first quarter. I’m here today with Lisa McDermott, Pall’s Chief Financial Officer; and Frank Moschella, our Corporate Controller. I’ll review our overall business and Lisa will provide a financial review of the quarter. Following that, we will be very pleased to take your questions. We are finally seeing stabilization in many industrial markets and return to stronger growth in Life Sciences. Despite a $31 million drop in revenue, gross margins improved by 110 basis points in the quarter. The company reduced SG&A and improved productivity. When the top line returns, the full leverage of these improvements should be further felt. First quarter sales were $547 million as recorded, a decrease of 5.4%. Sales of local currency were also most 7% and FX has turned sharply in our favor. This quarter’s results exemplify the strength of Pall’s market and geographic diversity, as well as the success of corporate investment and execution of our corporate initiatives. While key industrial submarkets remain depressed, sales growth and local currency in Life Sciences has been accelerating over the last three quarters, up 4%, 5%, and then 7%. Biopharmaceuticals return to with longer term double digit growth rate, increasing over 10% in the quarter. Medical is also grown in each of the last three quarters including almost 3% in this Q1. All regions grow in the quarter, Asia in particular increased 15%. We expect continued higher growth in this key region over the longer term. Sales in the Western Hemisphere increased almost 8% that is the best performance since July ‘07. Major market drivers in Life Sciences are increased production at biotech drug and vaccines, with service play out with the 16% increase in based business and biopharmaceutical. Conversely, system sales were down almost 40%, largely on some tough comps. System sales in Q1 of ‘09 were up over 18%. Have a continued reluctant to global companies to spend capital is not adversely effected Life Sciences. The positive mix largely contributed to the surge in gross margins within Life Sciences in the quarter. Raising medical standards around the world are not only expanding the market for drugs, but increasingly for leukocyte reduction filters. Australia, New Zealand, Korea and Hong Kong are among the latest to embrace leukocyte reduction at the standard of care. We saw the impact of this with the 16.5% sales increase to Asian blood centers. Elsewhere, our leukocyte reduction is already either mandated or detect as standard or picking up more business with new and differentiated products. Tender wins in Europe drove blood center sales up 9% and in the Western Hemisphere, the largest blood market for us, sales increased 6%. Aside from blood and medical, the H1N1 pandemic regional outbreaks, increasing regulation and reimbursement policies that will not reward U.S. hospitals for treating hospital acquired infections. It’s a [whole] prevention of nosocomial infection to the forefront. Pall has positioned itself to capitalize on these market drivers by developing enabling technologies, matched to the evolving customer needs and enhancing capabilities to serve them globally. A host of new products are improving margins and long term growth prospects and I could just mention a few updates. First, Single Use Systems for biotechnology along with our clean pack Aseptic Connection Devices are enabling technology for rapid production of flu vaccines. Our Acrodose System is another enabling technology that increases the availability of platelets, while creating an added revenue stream for blood centers and also provides for bacterial infection reduction in hospitals. Finally, Pall-Aquasafe water filters continue to evolve and it become a gold standard both to prevent [legenella] and mycobacterial contamination. We are pleased with the first quarter results in Life Sciences and expect a good year with sales up mid single digits. Turning now to Pall Industrial, they had a very difficult quarter. Sales and industrial decreased over 15% in local currency with all region affected. On a sequential basis, the signs are more encouraging, indicating a leveling off and depressed market and beginning of recovery. Let’s start with microelectronics, were sales held steady sequentially over an improved fourth quarter. Market conditions are improving. Japan however, does remain weak, but the OEM markets under duress. Third party sources recorded fab utilization is on the raise from a low of less than 15% last year to almost 80% at quarters end. This is the good sign. Capital spending continues to be relatively low, but we are seeing benefits from Intel’s well published $7 billion investment program. CapEx and OEM purchases are projected to rise in calendar 2010, hoping to feel the recovery. We currently expect sales in this high margin market to be up double digits by fiscal year end. Sales in aerospace and transportation were down over 21% in the quarter versus 12% growth in last year’s Q1. Commercial aerospace and transportation submarkets have been under clear pressured from the economy and this trend as continues. Commercial aerospace sales declined about 8% and this was driven by the U.S. market, we are experiencing continuing significant reduction in demand from the private jet market. This market has obvious ties to economic health, as well as suffering from an aversion to appearances of corporate access. Commercial after market sales in the U.S. were also off on lower aircraft utilization. In contrast, sales in Europe grew more than 40% with one of the biggest drivers being filed new agreement with Russian Helicopter. We still expect the difficult year overall in commercial aerospace. The much smaller transportations submarket of A&T has also been hit hard by the economy, since our third quarter of last year, while Q1 2010 sales were off about 21%; the rate of deceleration is slowing. We are expecting modest growth in this submarket on a full year basis. Sales to military customers decreased almost 30%, compared to 37.5% growth just a year ago. For us this period ended at second quarter around a double digit increases. There’s a tough hurdles to clear, I mean we will not clear them this year. This primarily relates to project timing. As an example, we shift about $25 million in ‘09 that are not expected to repeat this year, but will repeat in 2011. Military sales therefore, will be down for fiscal 2010 and overall, we’re expecting sales to be down double digits in the aerospace and transportation for this year. Finally moving to Energy, Water & Process Technology, sales were down 12%, some of this with the economy, some with timing, since that these markets that we sell the vast majority of our system to. Prior to last year’s second quarter, this amount of markets performed consistently well. We expect to return to help once the economy strengthens and production picks up. While sales were still down year-over-year in the very high margin industrial manufacturing submarkets. Good news is that they were stable with the sequentially better fourth quarter, much the same as I mentioned in microelectronics. The power generation in Fuels and Chemical submarkets were flat and Food & Beverage sales were down over 18% in part to its shipments of systems that were down. Bookings are starting to pickup, which goes well for future quarter. Muni Water sales were down 23% in the quarter, again reflecting the slowing of capital orders in the last year’s second and third quarters. Now we remain excited about municipal water over the long term. Quoting activity does remain strong, while tick rate is quite high and we’ve had additional successes in Asia. We identified over $30 million in stimulus projects as well. Stimulus money has a potential to impact our energy, water and process technology markets more than any others currently. It’s been both the benefit in the source of frustration. In the U.S. it is accelerated quoting activity, but delayed projects as customers wait to see, what government money maybe available and get how the access of this. So, while we are seeing some improving signs in abroad energy, water and process technology markets, we expect a flat 2010. Now, with that quick overview, am asking Lisa to go into some financial details. Lisa.
Lisa McDermott: Okay, thank you Eric and good morning everyone. So I guess, let’s take a look at our earnings and our cash flow results for the current quarter. Earnings per share came in at $0.56 compared to $0.36 in the first quarter of last year. On a pro forma basis, earnings per share as defined on slide 17 were $0.40 per share on par with a year ago. Foreign currency translation increased both measures of earnings per share by about of $0.01. Let’s now dwell into the drivers of these results, which is a slate on slide 14. As Eric mentioned, sales decreased 5.5% in the quarter, foreign currency translation added about $9 million, or 1.5% to our top line future of dollar weakening against the Euro the Japanese Yen in Australian dollar, partly offset by the strengthening of the US dollar against the British pound. For excluding this impact, sales were down about 7%, pricing increased sales by about $2.8 million, or 50 basis points in the quarter. Gross margin improved 110 basis points to 49.4%. Life Sciences gross margin improvements were greater than the reduction in industrial. Let’s take a look the detail Life Sciences gross margin increased 370 basis points to 55.7%. The improvement reflects an estimated 180 basis point benefit from mix including, a higher proportion of consumable sales to pharmaceutical customers versus medical customers. The former carrying higher gross margin, the benefit of sales channel changes from distribution is erect within pharmaceuticals an increase in sales of higher margin products and the decrease in lower margins systems from 5.9% of Life Sciences sales in the first of ‘09 to 3.4% in the first quarter of 2010. Gross margins in Life Sciences were also favorably impacted by cross savings initiatives and price increases that bid outpace inflationary cost increases and this contributed approximately 120 basis points in margin. Turning now to industrial gross margins, here we saw as gross margins decreased by 160 basis points to 44.5%, this is largely attributable to under absorption of manufacturing overhead as well as some onetime warranty costs incurred in the quarter. It was partially medicated by some improvements in pricing and cost reduction net of inflation, but important to take away from this is indicative of how well industrial position to leverage an increase in commercial activity. Looking now with SG&A, including corporate expenses, this decreased 2% compared to the first quarter year ago. It reflects investments being made for our Swiss operations, as well as cost effect key growth regions, as well as the increases in certain play benefit costs. Despite this excluding the impact of foreign exchange, which also increased SG&A by about $1.6 million, SG&A decreased 3% net, reflecting a reductions in consulting and other G&A expenses. It came in at 32.3% of sales, 110 basis points higher than last year, reflecting the top line reduction and some of the investment I just mentioned. In Pall Industrial, excluding the impact of foreign exchange SG&A decreased 4%, while in Life Sciences, it increased about 5%. Segment profit margins in the quarter were 16.2% compared to 16.8% last year. As an improvement in Life Sciences operating margin was offset by a decline in industrial. When we look at our consolidated operating margins just came in at 13.9%, compared to 13.8% last year. Turning now to income taxes, the effective tax rate or as we call the as reported rate for the first quarter was 10.5% reflecting $14 million benefit, related to the resolution of a foreign tax audit. Excluding discreet items, the underlying tax rate for the quarter was 31.3% compared to about 31.4% last year. The quarter also reflects the benefit of reversing interest accrued of about $9 million related to the tax audit. Excluding this item, net interest expense decreased by about $3 million primarily attributable the repayment of foreign debt in the second and third quarters of last year. Turning now to working capital, cash flow and liquidity, operating cash flow in the quarter was $73 million, compared to $61 million in last years first quarter, an increase of $22 million or about 44%. The increase in operating cash flow primarily reflects the slight improvement in our full cash conversion cycle from inventory reduction and lower interest payment. We continue to focus on working capital management and we will keep you apprised of our progress. Looking at significant uses of cash during the quarter, there was $37 million in capital spending and $34 million in dividend payments to shareholders. The increase in dividend principally is attributable due to the timing of dividend payments, one payment representing in additional quarter at dividend. Our cash position was $434 million at the end of the quarter and our net debt position plus our senior net debt plus equity stood at 19.6% down from 21.4% at year end. Our balance sheet and liquidity continues to remain solid and we believe more than adequate to cover our liquidity requirements and to support our refinancing needs. This includes our 9 billion Yen loan, which is approximately US$100 million, which comes due June of 2010. Of course by saying that, while the economy is certainly presented challenges, we remain confident in our ability to execute on our strategic plan. As you saw in last night’s release, we expect to pro forma earnings per share to be in a range of $2.02 to $2.19 per share. This guidance contemplates, low single digit local currency top line growth including a returns at growth in microelectronics in the second half of the year. At current exchange rates, we expect foreign currency translation to add approximately 6% to revenue growth, continued expansion of operating margin also reflecting continued benefit from mix, cost reduction net, and manufacturing and infrastructure, as well as pricing improvement; interest rates remaining at similar levels of the duration of the year, an underlying tax rate of 31.3% for the year, and earnings per share benefiting from foreign currency by approximately $0.17. Thank you for your attention this morning. With that I’ll hand it back to Eric.
Eric Krasnoff: Thank you very much, Lisa. At this point, we’ll look forward to taking your questions, please with the help of our conference operator.
Operator: (Operator Instructions) Your first question comes from Brian Drab - William Blair.
Brian Drab: My question is regarding the gross margin in the quarter and sustainability of the type of gross margin level. Let me just preface my question by saying that, I’ve seen at some of the other filtration companies that there has been a benefit recently from the absence of destocking and maybe even some restocking at customers? I know that across some of your business lines, particularly on BioPharm and medical side. I think that there was some detriment to your business from destocking in the past few quarters. Are you starting to see that trend of increasing gross margin from increasing after market sales as customers stop destocking and how significant role does that play? Then the follow-up question is that’s playing out to how sustainable would that be for the rest of the year?
Eric Krasnoff: On the Life Sciences side, we really didn’t experience destocking on the medical part of the business that tense to be a very high inventory turn product. On the pharmaceutical side, I say it was very modest in terms of destocking in the drivers, at this point really are increased production and particularly increased production in areas like vaccines, plasma and biotech that our Pall specific. I think I can say also with the regional growth rates. On the industrial side, we’re not seeing restocking at this point, but we are seeing a pickup in orders. So that may well be something we’re going see for the rest of the year.
Brian Drab: So you wouldn’t say that the absence of destocking had played a significant role then in increased aftermarket sales, it’s just return to…?
Eric Krasnoff: The absence of destocking is part of the stabilization in the industrial markets that were hardest hit, but not on the pharma side.
Brian Drab: Then just one quick follow-up regarding your forecast for fiscal 2010, can you give us an idea, what type of gross margin you’re incorporating into that forecast?
Lisa McDermott: Regarding to your question, we expect that the gross margin that we saw in the first quarter reflects mix that will be the Life Sciences pretty similar throughout the year, except for maybe the last quarter, where we expect some significant systems growth, but for the year, we believe Life Sciences gross margin is sustainable. Turning to the industrial side, depending upon economic activity in volume levels, we believe that there’s some upside. So when we look at the full year, we do believe that our gross margins will be better than last year and the guidance contemplates that.
Operator: Your next question comes from Richard Eastman - Robert W. Baird
Richard Eastman: Just two things; one is, Lisa, does the tax adjustments that you took in this quarter relate to the lagging tax accrual and negotiation from ‘06?
Lisa McDermott: It does not relate to that, if you’re referring to that one particular matter, no, it doesn’t. This relate to foreign matter.
Richard Eastman: So that accrual reversal is not part of the accrual that you took for that tax situation?
Lisa McDermott: No, it was not. This related to a pre-acquisition matter. Remember, a company that we acquired back in 2002 called FSG. So this was a resolution of some matter as relative to that.
Richard Eastman: Then my follow-up question here just relates to the equipment sales. Can you give a percentage of sales in the quarter that were equipment? Also were orders was the book-to-bill greater than one in the quarter?
Eric Krasnoff: Yes, not just equipment, but overall the book-to-bill going from Q4 to Q1 for Pall Corporation increased from 0.9% to 1.1% and that’s pretty much all driven by industrial, which went from 0.8% to 1.1%.
Operator: Your next question comes from Adam Brooks - Sidoti.
Adam Brooks: Just real quick, kind of on the Life Science and probably more than BioPharm, you talked about the favorable product mix, obviously systems were down. Can you maybe talk about some of the product lines that really performed well and maybe what your outlook is, kind of going into the rest of this year?
Eric Krasnoff: Sure, the very good performance in the total fluid management strategy for biotechnology, in other words, providing the integrated disposable processing suites that drug manufacturers can use as an alternative to capital intensive, hard type facilities. These give them flexibility to switch the types of drugs and making in their plants quickly, it speeds up the validation and reduces the risk of contamination on their systems and we have a wrap to product that go into those disposable suites. Another key area, virus filters certainly, more biologicals are being produced. The more opportunities it foreclose line of virus filtration. On the medical side, again Acrodose with bacterial infection is a way to take platelets, that are otherwise thrown out when you donate blood and allow them to be used various efficaciously in hospitals.
Adam Brooks: I guess really quickly, the restructuring has been down, I guess now as two quarters 5.4 and four I mean. I know you guys don’t talk about restructuring rates, but I mean do we see 2010 maybe even ‘11 below ‘08 and ‘09?
Lisa McDermott: I would expect that 2010 would be below ‘09 levels and a lot of restructuring is behind us.
Eric Krasnoff: Particularly, the reduction in our manufacturing footprint closing at factories is pretty much behind us now and that was a major driver for us.
Operator: Your final question comes from Dan Leonard - First Analysis.
Dan Leonard: What percentage of your total revenue were system sales?
Lisa McDermott: I think it was 12% in the quarter.
Eric Krasnoff: If you have follow-up question, we’ll answer the first one, 10%.
Lisa McDermott: 10%.
Dan Leonard: Then I do have a follow-up. Eric, what’s driving the comments you made that the industrial businesses are stabilizing?
Eric Krasnoff: I mention the change from the Q4 to Q1 in terms of book-to-bill, but if we look at the November specifically, we see that outside of Food & Beverage and A&T. All the Energy, Water & Process Technology submarkets had double digit order increases. So I know one month was not a year make, but building on the increase in the first quarter, it looks to us is that the business is going to be coming back.
Lisa McDermott: I’ll add to what Eric just said, also looking at October and November, we saw microelectronics ordering patterns reverse and go up.
Eric Krasnoff: Yes. In October, we were up 8% and November orders were up 12% in microelectronics. That’s right, Lisa.
Operator: At this time, there are no further questions. I will turn the call back to Mr. Krasnoff.
Eric Krasnoff: I’d like thank you all for participating today and also to share that we are very pleased to resume annual guidance with this quarter of stabilizing global economic climate and therefore improve visibility at the reason and building on this next week, we will be updating our five year business plan for 2013 and we help to see many of you there at our headquarters for that presentation. For those of you that can’t make it, the presentation will be webcast simultaneously. With that, we thank for you interest and we look forward to reporting on our second quarter result. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference. You may now disconnect.